Operator: Good day and thank you for standing by. Welcome to the Second Quarter 2022 Brady Corporation Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there'll be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Ann Thornton, Chief Accounting Officer. Please go ahead.
Ann Thornton: Thank you. Good morning and welcome to the Brady Corporation fiscal 2022 second quarter earnings conference call. The slides for this morning's call are located on our website at www.bradycorp.com/investors. We will begin our prepared remarks on Slide 3. Please note that during this call, we may make comments about forward-looking information. Words such as expect, will, may, believe, forecast and anticipate are just a few examples of words identifying a forward-looking statement. It's important to note that forward-looking information is subject to various risk factors and uncertainties which could significantly impact expected results. Risk factors were noted in our news release this morning and in Brady's Fiscal 2021 Form 10-K, which was filed with the SEC in September. Also, please note that this teleconference is copyrighted by Brady Corporation and may not be rebroadcast without the consent of Brady. We will be recording this call and broadcasting it on the Internet. As such, your participation in the Q&A session will constitute your consent to being recorded. I'll now turn the call over to Brady's President and Chief Executive Officer, Michael Nauman. Michael?
Michael Nauman: Thank you, Ann. Good morning and thank you all for joining us today. This morning we released our fiscal 2022 second quarter financial results, which showed very strong sales growth and improved EPS. We have been successfully navigating challenging supply chain issues in a highly inflationary environment in order to manufacture and deliver the products that our customers need and have come to expect from Brady. I'm proud of how the team has been able to work through this difficult environment and deliver for both our customers and our shareholders. This quarter, we grew sales by a very robust 19.6% and we increased GAAP earnings per share by 10.2%. If you exclude the impact of amortization, then our EPS was up even more significantly at 14.8%. Along with the strong revenue growth and improving EPS, we have an extremely solid balance sheet. Even after returning $45 million to our shareholders in the form of dividends and buybacks in the first two quarters of this year and intentionally building up our inventories, we are still in a net cash position of more than $64 million as of January 31. This quarter, we also returned our WPS business to organic sales growth earlier than originally anticipated. Even with tough comparables due to strong COVID related product sales in the prior year, organic sales growth increased by 5.2% in our WPS business this quarter. In our Identification Solutions business, we continued to post excellent results with organic sales growth of 16% and a total sales growth of 26%. Over the last several years, we've built a strong foundation for success and this foundation is propelling Brady's performance. First, we worked on removing structural inefficiencies, improving execution, simplifying our business and rejuvenating leadership accountability and focus. You can clearly see the benefits of this effort as we produce SG&A expense from over 36% of sales just a half dozen years ago to 29.1% this quarter. Second, we reinvigorated innovation through significant investments in R&D, marketing, automation and our websites. We increased Brady's relevance to our customers by providing complete solution sets that solve their unique challenges and we've made critical investments in our facility in factory automation, in engineering talent and in our sales force that will pay future dividends. Third, we've used our strong balance sheet to expand in the faster growing end markets through the acquisition of Code, Nordic ID, and Magicard. These actions are transforming Brady from a product company with solid profitability but modest organic growth into a solution provider that is growing in excess of GDP and is poised for excellent future sales growth due to the strong foundation and positive momentum resulting from the many investments made over the past five plus years. We're proud of what we've accomplished at Brady, but we're far from done. As we look ahead, our priorities are to first and foremost drive organic sales growth and ensuring we're serving our customers extremely well during this ongoing public health crisis and period of challenging supply chains. Second, it's to take the necessary pricing and cost actions to mitigate the impacts of this inflationary environment and return to pre-pandemic gross margin levels while continuing to invest in our future. Third is to integrate our recent acquisitions in order to accelerate our systems approach, which is leading to higher revenue and profit growth. And finally, to deploy our capital effectively in order to drive long-term shareholder value. In our ID Solutions business, we're embracing these priorities by increasing our investments in R&D, including the incremental R&D necessary to integrate our recent acquisitions. We're also improving our online presence by upgrading our websites and investing in digital marketing talent, all while expanding our sales force and expanding geographically into underserved markets. In WPS, we're focused on providing more internally produced custom solutions and working with more automated interactions with our customers to provide quicker and more reliable responses that they desire and value. And we're continuing to drive significant automation within our factories and distribution centers, which is absolutely critical in a period marked by scarcity of labor and rising costs. Our strong new product line-up, investments to drive sales and positive momentum in automation efficiencies gives us confidence that we will continue to generate strong organic sales growth with very healthy margins over the rest of this fiscal year and for years to come. We're also integrating the three acquisitions that we completed in the fourth quarter of last year, which includes building out our industrial track and trace solution set. Much of the increased R&D that you see relates the investments necessary to build out a comprehensive solution that will help us move into faster growing end markets and accelerate sales growth for years to come. However, we are seeing significant inflationary pressure across many different cost categories from wages to utilities, to shipping costs, and raw materials and we've had challenging - challenges cost effectively securing certain products for our supply chain originates in Asia. In general, we've been overcoming these shortages, but it has resulted in increased material costs and the use of much more expensive air freight. Even with these inflationary pressures, our gross margins are still an enviable 40% - 47% this quarter. We are putting through additional price increases across many of our product lines to try to catch-up to these increased costs. That said, we believe that this inflationary environment will be with us for a while and that our gross margin challenges will remain until continued price increases will be able to catch up with input cost increases. We are confident that we provide our customers with significant value. As a result, we expect gross profit margin to improve over time back to historic levels. Even in this challenging logistical and inflation driven environment, Brady is well positioned for success as we look to the rest of this fiscal year and beyond. I'm confident in our ability to deliver results for our customers, our employees and of course for our shareholders. I'll now turn the call over to Aaron to give a bit more detail on our financial results, then I'll return to provide specific commentary about our Identification Solutions and Workplace Safety businesses. Aaron?
Aaron Pearce: Thank you, Michael. Good morning, everyone, and thank you for joining us this morning. I'll start the financial review on Slide 3. Sales in the second quarter were $318.1 million, which was an increase of 19.6% when compared to the same quarter last year. And GAAP pre-tax earnings increased 6.7% to $42 million. Impacting earnings this quarter was a significant increase in amortization expense from the acquisitions completed at the end of last year. If you exclude amortization expense from all periods presented, then our pre-tax earnings would have increased by 12.4% to $45.8 million. GAAP diluted EPS was $0.65, which was an increase of 10.2% over last year's second quarter. And if you exclude amortization expense, then EPS would have increased by 14.8% to $0.70 this quarter compared to $0.61 in the second quarter of last year. So financially, Q2 was another very strong quarter despite the logistical challenges and the inflationary pressures that Michael just mentioned. Moving to Slide 4, you'll find our quarterly sales trends. Our nearly 20% sales increase consisted of organic growth of 13.1% and an increase from acquisitions of 8.6%. This was then partially offset by a decline of 2.1% from foreign currency translation. Organic sales grew in each of our two divisions. ID Solutions had robust organic sales growth of 16% and Workplace Safety Return to growth clocking organic growth of 5.2% this quarter. Turning to Slide 5, for our gross profit margin trending, our margin was 47% this quarter compared to 48.7% in the second quarter of last year. As Michael mentioned, we're experiencing inflationary pressures in nearly all cost categories, but we're automating across our sites, we're driving efficiencies throughout the entire organization and we're putting through selective price increases to offset these cost increases. On Slide 6, you'll find our SG&A expense trending. When comparing to last year's Q2 SG&A of $82.2 million, this year's SG&A of $92.5 million, there are two main items impacting comparability. First, the amortization expense from the three acquisitions completed at the end of fiscal '21 added $2.4 million of expense. And second, the remaining SG&A expense from these three acquisitions added another $5.3 million. Excluding these acquisitions, SG&A was up approximately 3% in Q2 versus the same quarter of last year. And as a percent of sales, SG&A was 29.1% this quarter compared to 30.9% in the second quarter of last year, which illustrates how we're able to continue to squeeze leverage out of our SG&A structure. Plus, if you exclude amortization from both the current year and the prior year, then SG&A would have declined even more declining from 30.4% of sales last year to 27.9% of sales this year. We continue to make progress in driving down SG&A as a percent of sales and believe that we still have numerous opportunities ahead of us. Slide 7 is the trending of our investments in research and development. This quarter, we invested $14 million in R&D, which equates to about 4.4% of sales. We're committed to maintaining this increased level of R&D investment as we continue to see opportunities for R&D across our businesses, including building out a comprehensive industrial track and trace platform that encompasses our printers, high quality materials, RFID scanners, and barcode scanners. These investments in R&D are critical to sustaining our increased growth rate over the long term. Slide 8 illustrates our pre-tax income trends. Pre-tax earnings increased 6.7% on a GAAP basis and increased 12.4% if you exclude amortization expense from all periods. Slide 9 illustrates our after-tax income and EPS trends, as I mentioned, our GAAP EPS increased 10.2% this quarter and if you exclude the after-tax impact of amortization expense, our EPS would have increased by an even stronger 14.8%. Last year was a record EPS year for Brady and even with last year's tough comparables, year-to-date our EPS excluding amortization is a full 12.6% ahead of last year at this time. On Slide 10, you'll find a summary of our cash generation. This quarter we intentionally increased our inventory levels to ensure that we have the materials available to meet the future needs of our customers. This quarter we had a cash outflow of $17.8 million related to our building of inventory levels. Although, we're still working to secure a larger supply of certain critical products, we don't anticipate the ramp up in our inventory levels to continue at this pace other than to support the increase in sales levels. We also paid out our fiscal 2021 incentive-based compensation this quarter, which had a negative impact on our cash generation. As a result of these two significant cash outflows, we finished with cash flow from operating activities of negative $3.2 million this quarter. As we move in to the back half of this fiscal year, we expect our cash flow to improve significantly as our intentional building of inventory subsides. Now if you'll turn to Slide 11, you can see the impact that Brady's historically strong cash generation has had on our balance sheet. Even after returning funds to our shareholders and building up inventories to ensure that we're poised to meet future customer demand, on January 31, we were still in a net cash position of more than $64 million. Our strong balance sheet puts us in a fantastic position to execute additional value enhancing activities including investing in R&D, completing additional acquisitions and returning funds to our shareholders. Our approach to capital allocation is to first use our cash to fully fund organic sales and efficiency opportunities throughout the economic cycle. This includes investing in new product development, sales generating resources, IT improvements, capability enhancing CapEx and automation focused capital expenditures. We will absolutely keep funding these investments where it makes sense and where the investments are ROI positive. And second, we focus on returning cash to our shareholders in the form of dividends. We've now increased our annual dividend for 36 consecutive years. After fully funding organic investments and dividends, we then deploy our cash in a disciplined manner for either acquisitions where we have strong synergistic opportunities or for buybacks when we see a disconnect in our view of intrinsic value versus Brady's trading price. This quarter we returned $14.5 million to our shareholders in the form of dividends and share buybacks. And in the first half of this year, we returned a total of $45 million to our shareholders, which illustrates our commitment to return capital to our shareholders. Subsequent to our quarter-end on January 31st, we repurchased another $9 million worth of shares bringing our total share buybacks from August 1, 2021, through today to $30.7 million, which was just over 612,000 shares. As we look to the back half of this year and assuming current market conditions persist, we expect to continue using our share buybacks as a tool to return funds to our shareholders. Slide 12 summarizes our updated guidance for the year ending July 31, 2022. Although organic sales growth was strong, our gross profit margin during the six months ended January 31, 2022, was a bit weaker than we had originally anticipated as cost have increased faster than expected. We expected these cost pressures to continue to impact our gross profit margin for at least the short-term before price increases and efficiency actions are able to offset these inflationary forces. In the second half of fiscal 2022, we expect our gross profit margins to improve from the 47% realized last quarter, but we don't expect our margins to fully return to pre-pandemic levels. As such, we're adjusting our diluted EPS excluding amortization guidance from our original range of $3.12 to $3.32 per share to our new range of $3 to $3.15 per share. This equates to a revised GAAP EPS guidance range of $2.78 to $2.93 per share. This revised guidance range implies that we expect fiscal 2022 GAAP earnings per diluted share to increase from 13% to 19% when compared to our previous record EPS here in fiscal 2021. And if you exclude amortization and the non-recurring charges incurred last year, we expect EPS to improve by 9% to 15% for the full year ending July 31, 2022. Included in our GAAP earnings per share guidance is an increase in after-tax amortization expense of approximately $6 million. After-tax amortization increased from about $5.5 million in fiscal 2021 to about $11.5 million in fiscal 2022, which is a delta of approximately $0.12 per share. The other elements of our guidance are pretty much in line with what we shared last quarter. Specifically, we expect the full year income tax rate of approximately 20% and depreciation and amortization expense to range from $34 million to $36 million. Capital expenditures excluding any future facility purchases are expected to range from $27 million to $32 million. This CapEx guidance range of $27 million to $32 million is inclusive of the $8 million of facility purchases we already incurred in the first half of this year. This guidance is based on foreign currency exchange rates as of January 31, 2022, and assumes continued economic growth. As we look forward to the rest of this fiscal year, we will continue to make the investments necessary to drive organic sales growth. We'll continue to search for acquisitions that advance our strategies and we'll continue to drive sustainable efficiency gains while being tight on non-revenue generating expenses. As for capital allocation, we'll keep investing in our organic business. We will keep investing in our industrial track and trace initiatives. We will continue to return funds to our shareholders through dividends and through buybacks if the price is right. And lastly, we will continue to look for acquisitions where the strategic fit is clear. We have a strong balance sheet and we use it as a tool to drive long-term shareholder value. Potential risks to this guidance among others include the strengthening of the U.S. dollar versus other major currencies such as the Euro or the Pound, worsening logistics that don't allow us to meet our commitments to our customers, further lockdowns or increased inflationary pressures that we can't offset in a timely enough manner. I'll now turn the call back to Michael to cover our divisional results and to provide some closing comments before the Q&A session. Michael?
Michael Nauman: Thank you, Aaron. Slide 13 outlines second quarter financial results for our Identification Solutions Business. IDS sales increased 26.1% to $245 million. Organic sales on IDS division were once again very strong, up 16% versus the second quarter of last year. And on the cost side, we drove numerous automation and efficiency projects that partially offset input cost inflation that we've been experiencing. Segment profit as a percentage of sales was 18%, which was down from 20.1% last year. However, if you exclude the sizable increase in amortization that Aaron mentioned, then segment profit as a percentage of sales would have been 19.5% this quarter compared to 20.7% in last year's second quarter. Regionally, organic sales in Asia were once again very strong this quarter with growth of nearly 15% compared to the second quarter of last year. This is the fifth consecutive quarter of Asian organic sales growth in excess of 10%. Organic sales were also up more than 15% in the EMEA region despite several lockdowns continuing throughout most of the second quarter. And organic sales growth was just as strong in the U.S. with growth of over 15% as well this quarter. We saw growth in nearly all product lines and all key geographies including healthcare where organic sales growth was approximately 6%. Overall, our sales trends in IDS are very positive. Yes, our margins are temporarily challenged, but we are growing our customer base and taking share. This bodes well for our future. Our R&D investments remain a high priority. We've ratcheted up our investments to build an industrial track and trace solution and we're already experiencing stronger than anticipated synergies from our recent acquisitions, which we expect to only increase from here due to the complementary nature of Code, Magicard, and Nordic ID product portfolios. These acquisitions are performing approximately as expected and bring us valuable technologies that help round out our product offerings and make Brady more valuable to our customers. We're devoting a significant amount of time and money to all aspects of R&D from software to printers and materials. Our previous R&D investments are now resulting in a steady stream of new product launches that we expect to continue to propel us to above GDP sales growth. Our newest line of printers are all about making the lives of our customers easier and it's designed to be better for the environment. As an example, we've upgraded our line of Wraptor printers, making them much smaller while improving functionality. These wired identification printers are capable of both printing a label and automatically applying it to the wire, thus saving valuable time for our customers. In addition, printers such as the i3300 industrial label printer are easier for our customers to use and have a distinct environmental advantage over our competitor's products. Our printers are incredibly simple to set up as there is no calibration process, which saves our customers time and frustration. And our printers print on the first label with zero waste, which is completely different than our competitor's products. Our competitor's printers typically require a calibration process that almost always results a numerous wasted labels before printing the first usable label costing, time, money and environmentally detrimental scrap. It's a combination of our best-in-class printers, plus our high-performance materials that set Brady apart from our competition. Our R&D pipeline is strong and we continue to launch innovative new solutions that help our customers solve problems and be more effective and efficient. I'm also excited about how the acquisitions of Code, Nordic ID, and Magicard are moving us into faster growing end markets. Our increased presence in the industrial track and trace market combined with our strong core IDS business where we have clear positive momentum position IDS well for outsized future organic sales growth. These positive revenue trends combined with our cost disciplined, efficiency focused and future price increases will help offset inflationary pressures and paint a bright future for our IDS division. Moving to Slide 14, you will find a summary of our Workplace Safety financial performance. WPS returned to organic sales growth this quarter more than offsetting the challenging comparables caused by strong COVID related product sales last year. Coming into this quarter, we were not anticipating organic sales growth in our WPS division. However, our WPS team performed exceedingly well and returned to organic sales growth faster than we anticipated. Our WPS business experienced strong organic sales growth of 5.2% finishing with sales of $73.1 million this quarter. Organic sales growth in our European WPS business was more than 7% this quarter. Our Australian business also performed well growing nearly 6% organically while revenue in our North American WPS business were effectively flat this quarter. In our Americas business, we've been working to optimize online prices to increase our competitiveness and acquire new customers while reducing our SG&A expense structure, which includes reducing head count and catalog distribution costs. We'll continue to reach SG&A expense and streamline our manufacturing costs in our WPS business while capitalizing on our common web platform and strong market intelligence to adjust prices up and down and modify our online advertising based on the specific market dynamics in an effort to maximize the return on advertising spend. WPS segment profit increased approximately 30% to $44.5 million this quarter compared to $3.5 million in last year's second quarter. This improved segment profit is a direct result of increased sales volumes, net of inflationary impacts on our cost structure. We will continue to modify our marketing campaigns to reach new customers. We will continue to adjust prices to acquire more customers online and we'll continue to work hard to address the underperforming businesses within WPS. This will result in additional reductions in SG&A expense as we progressed through the back half of the year as we build a streamlined foundation from which to grow and from which to improve profitability. Unfortunately, this pandemic is not over and the financial impact stemming from the pandemic are certainly not over. Throughout the pandemic, we invested in growth and efficiencies and its continued level of investment that will enable us to keep this strong positive momentum as new products are launched and factory automation is brought online. Brady is in an enviable financial position. Fiscal 2021 was a record EPS year and so far in fiscal 2022, EPS is running well above fiscal 2021 levels. Organic sales were up 13% this quarter and total sales were up nearly 20%. Our earnings are up and our balance sheet is strong. We will continue to invest in R&D, sales generating resources, and capability enhancing CapEx, all while being tight in non-revenue generating expenses and aggressively working through global logistics issues and inflationary challenges. I'm proud of how our team performed throughout this challenging period. The Brady team has done a great job serving our customers while continuing to invest in our future. We have a solid foundation and a great platform for outsized future growth. We're transitioning into a faster growing customer company and we're continuing to streamline our cost structure and drive efficiencies, which will result in improved future profitability. Yes, we have short-term gross margin challenges that resulted in our decision to adjust our EPS guidance for the remainder of the fiscal year. However, we are still forecasting record GAAP EPS for the year ending July 31, 2022. We are forecasting GAAP EPS growth from 13% to 19% over last year's record EPS levels. And we are expecting total sales to increase by more than 12% this year. We have positive momentum that will deliver increasing levels of shareholder value. With that, I would like to start the Q&A. Operator, would you please provide instructions to our listeners?
Operator: [Operator Instructions] Our first question comes from Michael McGinn with Wells Fargo. Your line is open.
Michael McGinn: So starting with pricing, pricing was noted I think selective was the term used, but inflation is broad based. So why not be more aggressive? And can you also address the differential in pricing strategies between devices and consumables? Do consumables have less upside given their higher starting point on margins?
Michael Nauman: First of all, I think the wording was careful. And Michael, I would say this, we have actually been aggressively increasing the broad depth and amount of our price increases and we plan to continue to do so. So that - there are a few minor areas that we are facing challenges competitively in the environment of some, what I would call even irrational price decisions by some of our competitors. But as you know, we have very broad-based competitors depending on the product. And so effectively we've been raising prices across the board in our units with a few exceptions. That said, we feel strongly that we provide significant value to our customers and we are looking to increase prices going forward more rapidly and more significantly in all areas, consumables and non-consumables.
Michael McGinn: And can you maybe walk us through - that's the price on the cost front where you guys recognize inventory, LIFO, FIFO, weighted average costs between the two separate segments?
Aaron Pearce: I'm sorry, Mike, can you ask that question again.
Michael McGinn: What is your accounting methodology for inventory between the two segments?
Aaron Pearce: Okay. We have portions of our U.S. business that are on LIFO and it is mostly our Identification Solutions business. So clearly, we are recording inventory LIFO on IDS and Workplace Safety is not on LIFO. And as far as the first piece of your question regarding cost increases, we are seeing cost increases across lots of different categories. Let me just put it in perspective because I don't think we gave a ton of detail on the call - I'm sorry, in the prepared remarks. So if you look at our gross margin, gross margin declined 170 basis points in total. Freight alone was up 150 basis points as a percent of sales. You add in direct materials, another 40 basis points of cost increases as a percent of sales, direct labor another 10% increase as a percent of sales. So just those three categories alone was 200% - 200 basis points - excuse me, of sales. Now, of course, we've had - we've been driving many efficiency gains that Michael mentioned as well and we'll continue to drive those down to offset wherever we can as well as price increases, but the inflationary environment is absolutely real and freight is the biggest contributor.
Michael Nauman: If I want to add a little more color actually that even, Michael, freight is contributor for a couple of factors. Across the Board, freight rates are increasing. I don't care whether it's trucking, I don't care whether it's redistribution, shipping, but the biggest factor for us in the short term is air freight. Our commitment to our customers remains priority number one. And as a result, we've been air freighting a significant amount of our products that we would never normally air freight and that in result has been tremendous pressure on our cost. Good news about that is that as we're driving our facilities, that is an element that we can take down when the market isn't necessarily going to take down overall freight costs. So we do have an upside to that in the near future as we drive back to more traditional shipping lanes. And we know that the shipping lanes still remain a tremendous challenge to us, but our numbers for instance in the Port of Los Angeles are coming down not to pre-pandemic levels, but have come down tremendously as far as wait time. So we're going to see some compression in that area as well, but the biggest opportunity, as I said, is moving back from air freight to sea freight.
Michael McGinn: Okay. Just to put a bow on this line of questioning. IDSs LIFO and then Workplace Safety is?
Aaron Pearce: IDS in the U.S. is LIFO. IDS outside of the U.S. is not. And the remainder of our business is FIFO.
Michael McGinn: Okay. So that's kind of what I'm getting at. So the majority of your business being outside of the U.S. is realizing real-time pricing against the easiest cost of goods sold comps. I'm just trying to confirm that. But inside the U.S., you have the larger - you have - it's not matched up yet. So there is more price cost tailwind potentially going forward in the U.S., but maybe not so internationally.
Aaron Pearce: I'm not so sure that that's - I'm not so sure I would draw that conclusion quite yet.
Michael McGinn: All right. And then I guess on the next one - next question. Can you - on the WPS margin snap back, nice to see. Can you just talk about the general tailwinds relative to Q1 that IDS didn't see and then also the tailwinds from in-sourcing and removing a layer of outside gross profit, what percentage of in-sourcing has been completed to date and does inflation kind of accelerate that trend?
Michael Nauman: Yes, it certainly does. It points that our direction is correct that not only are we in-sourcing poor costs, but we're really in-sourcing primarily poor flexibility and speed to our customers, the ability to customize to differentiate and respond very, very rapidly. You're exactly correct though. Another great benefit that is a margin improvement. And as we've seen inflation go up, we've seen the benefit of that, but we've also been driving that harder without giving specific numbers. We still have a lot of opportunity to go there. We've put out a target and a challenge to our teams there that goes through 2026 of continuing to increase the percentage of in-sourcing. I will tell you we will never be 100% because there is a certain amount of products that are required. There are commodities that have super high competitive pressures from other suppliers to keep their price to us low and that we need to provide as part of a package total solution. That said, we still, to your point, have a lot of opportunity in that space to drive internally and are doing so. Particularly in Europe, we have some great opportunities there as well as Australia and North America.
Operator: Our next question comes from Steve Ferazani with Sidoti. Your line is open.
Steve Ferazani: Great, thanks. Thanks so much for all the detail during the call everyone. I do want to ask a bit about the acquisitions and where you think the integration stands versus - and your guidance versus when you first close those deals. I know you said $96 million in sales were expected in the first - in fiscal 2022. It looks like you did about $46 million in the first half and you also talked about margins would be slightly higher than historic Brady. Can you just walk us through where those businesses are now versus where you thought they would be when you close the acquisitions?
Michael Nauman: Steve, thanks for the question. Appreciate it. We're right on track. We feel very good about those acquisitions. As you know, people always worry about acquisitions because the real success is in your ability to integrate them and your ability to drive the synergies. I can tell you that I have interacted - particularly I made sure I got over to Europe which, as you know, has been a challenge. The teams are strong. They're capable. They see the benefits of being part of the Brady organization and vice versa. We're seeing a lot of benefits of them. I believe long term, there are more benefits than we actually anticipated, which particularly with - a lot of acquisitions I've seen over the years is not necessarily true. In this case, I do feel very good that right now we're on track. We had a two-year outline of when we're going to be able to integrate everything for our software umbrella overhead. We're also on track with that. And like I said, the good news is, we believe the outcome will be even stronger than we anticipated in our original models when we acquired the companies. And considering we did this in the heart of COVID without being able to really get our feet on the ground nearly as much as we wanted to normally, I think it's been a very, very successful first start and very excited, not only about the capabilities, but more importantly about the teams that are helping us to drive our success for the future. So --
Steve Ferazani: [technical difficulty] and obviously you're not unique in terms of building up inventory. The question is how quickly you think about - do you think you're staying on an elevated level for multiple quarters, when do you think that starts strong down - I'm just trying to think about how this will affect full year because obviously the first-half wasn't strong on the cash flow level, but it looks like primarily due to the inventory build.
Michael Nauman: Correct. Steve, you cut out a little at the beginning, but I believe your question was totally around inventory build. If there was more to it, you may have to have the first part of that question. Fine.
Steve Ferazani: No you got it.
Michael Nauman: Okay, good. The key to the inventory build is that, yes, we made a strong decision to first and foremost support our customers. And we strategically have had the cash to be able to do that without hurting our few other future investments, so that's a very important statement. We therefore believe we primarily put us in a position and we can show that through our online delivery, through our customer satisfaction that we aren't missing shipments and we do see competitors who are missing shipments, delaying shipments and a variety of other factors. So that has been very important. That said, with the exception of a few significant categories, we don't believe we will be significantly building going forward. Timing of release also depends on the timing of things like shipping lanes. Obviously if you can take an 18-week cycle and bring it back down to a six-week cycle that will take tremendous pressure off of our inventory levels. I don't have a perfect crystal ball on that. I believe right now that you can model us keeping our inventory levels where they are today with possible slight increases or decreases depending on mix and accountability, but it won't be a significant drive anywhere other than growth of sales.
Operator: Our next question comes from Keith Housum with Northcoast Research. Your line is open.
Keith Housum: Good morning, guys, and great job on the top line there. Michael, just trying to dissect the top line a little bit further. If you look at the growth that you guys saw, how much of that would you say was from your pricing actions that you guys took in the quarter?
Aaron Pearce: It was 3.87% Keith, 3.8% was price, the remaining 9.3% organic was the mix volume, et cetera.
Michael Nauman: But we did see significant sales growth, real organic sales growth.
Keith Housum: Yes, no, it's a great organic growth number for you guys. Now in terms of your guidance, it really didn't change your topline growth guidance for the year still saying at least 12%, but obviously last quarter - this quarter, significantly more above that. Is that sort of conservatism that raising that number or you see anything in the second half of the year that may propose the challenge to really exceeding that number by good margins?
Aaron Pearce: Yes, there are two items impacting our revenue guidance and our decision to leave it at. They're just above 12%. And number one was, of course, we did have very strong organic sales growth this quarter, but unfortunately offsetting that was a bit of FX headwind. And to put it in perspective, in Q1, FX was actually a tailwind of 0.7%, Q2 headwind of 2.1. And as you know about half of our business is overseas, so they can have a pretty significant impact, so it's actually the combo of those two items.
Keith Housum: Okay. And then - Michael, you guys have talked in the past about the micro business is not coming back. And third quarter is usually a strong core for you guys in the micro business aside. I know usually incremental gross margins and obviously we got a lot of things going on now for gross margins, but how do you feel about micro businesses right now and its ability to help third quarter?
Michael Nauman: Yes, it's interesting. We are seeing an introduction of businesses into the economy. You can look at the number of startups is registered, but you were not seeing yet is those businesses turn into what I'll call real businesses, i.e., the number of zero employee businesses sort of started in the last six months is significantly higher than the normal percentage. So when [indiscernible] businesses turn into by real businesses and employ some number of people, you're still going to see a challenge there, Keith. So I wouldn't anticipate that being a major lifter in the third quarter and literally just because of that dynamic. The rest of that business is actually functioning better than before. We've made some significant changes to streamline efficiencies and costs and so we are literally at a point that is we watch those businesses really recover a green come out with, as I said, what I'll call real businesses, you'll see that happen. And you do have to bifurcate out the zero employee businesses to see that.
Keith Housum: Yes. Got it. And then you guys have a large automated store here in [indiscernible] store, I think it was last quarter. I guess, perhaps touching that automation there and if it delivering the results that you expected and that was our full quarter benefit or was it first full quarter benefit from that operations here in this upcoming quarter?
Michael Nauman: We will first continue to see benefits over the next quarter from that Keith. These things are very complex. This is amazingly effective system. It's got an ability - I'm not a giant fan of massive inventory systems by and large because they often had bottleneck and breakout points. We don't have that with this. So, instead of being a serialized approach where there's bottlenecks, it's a massive parallel approach of which really gives us a lot of different advantages, but as a result, the programing - the performance upgrades actually build upon themselves over time and so we're going to continue to see more and more efficiencies coming out of that certainly the next quarter and frankly we have next generation plans for that system, so we expect to drive more performance gains from that approach over the next year plus.
Operator: Thank you. And that's all the questions in the queue. I'd like to turn the call back to Michael Nauman for closing remarks.
Michael Nauman: Thank you so much. I'd like to leave you with a few concluding comments this morning. We're certainly in a new phase of the COVID-19 pandemic. We're seeing stressed supply chains, increased input costs, labor shortages and overall increased inflation. We're working through this effectively and growing sales rapidly taking share and serving our customers well, but we're experiencing gross margin compression that we expect to continue for the remainder of this fiscal year. I don't know what the future holds for the global economy, but I do know that Brady is well positioned to thrive regardless of which direction the economy heads. We've changed our profile to a faster than GDP growing company with an increasing foothold in faster growing end markets. We have a strong balance sheet and strong cash generation, which enables us to keep investing in both organic and inorganic growth while also returning significant funds to our shareholders in the form of dividends and buybacks. And once our pricing and efficiency initiatives catch up to cost inflation, our strong sales growth and improved gross margins will drive significant bottom line growth. Please stay safe. Thank you for your time this morning. Have a great day. Operator, you may disconnect the call.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Everyone, have a great day.